Operator: Good afternoon and welcome to the AngloGold Ashanti Fourth Quarter Earnings Conference. All participants are in listen-only mode. There will be an opportunity for you to ask questions at the end of today's presentation. (Operator Instructions). Please note that this conference is being recorded. I would now like to turn the conference over to Charles Carter. Please go ahead, sir.
Charles Carter: Thank you and welcome to this presentation by the AngloGold Ashanti executive team of our results for the fourth quarter and year ended 31 December, 2006. The format of the presentation will be as follows, Bobby Godsell, our CEO will review AngloGold Ashanti's performance over this period and offer a production outlook for the company. Venkat, our Finance Director will discuss our adjusted headline earnings for the quarter. Mark Lynam, our Treasurer will briefly discuss the hedge book. This will be followed by presentations by our two Chief Operating Officers, with Neville Nicolau discussing the operations in Africa and Roberto Carvalho Silva covering the International Operations. And finally, Richard Duffy, Head of Business Development and Exploration will reflect on exploration progress in 2006 and our key greenfields targets in 2007. After these presentations we will take your questions. Before we begin, it is necessary for me to read a declaration regarding forward-looking statements that may be made during this presentation. Certain statements made during this presentation, including, without limitation, those concerning the economic outlook for the gold mining industry, expectations regarding gold prices, production, cash costs and other operating results, growth prospects and the outlook of AngloGold Ashanti's operations, including the completion and commencement of commercial operations of certain of our exploration and production projects, and its liquidity, capital resources and expenditure contain certain forward-looking statements regarding AngloGold Ashanti's operations, economic performance and financial condition. Although AngloGold Ashanti believes that the expectations reflected in such forward-looking statements are reasonable, no assurance can be given that such expectations will prove to have been correct. Accordingly, results could differ materially from those set out in the forward-looking statements as a result of, among other factors, changes in economic and market conditions, success of business and operating initiatives, changes in the regulatory environment and other government actions, fluctuations in gold prices and exchange rates, and business and operational risk management. For a discussion of such factors, refer to AngloGold Ashanti's annual report on Form 20-F for the year ended 31 December 2005, which was filed with the Securities and Exchange Commission on 17 March 2006. AngloGold Ashanti undertakes no obligation to update publicly or release any revisions to these forward-looking statements to reflect events or circumstances after today's date or to reflect the occurrence of unanticipated events. With that, let me hand over to Bobby Godsell.Bobby Godsell: Thanks, Charles. The December quarter saw production 4% higher at nearly 1.5 million ounces and total cash costs slightly improved to $309 an ounce. Both of these were in line with our forecasts from last quarter, as was the received price, which at finally came at $8 an ounce was 6% below the average spot price for the quarter, as the company continued to deliver into the hedge book as fully as possible. Adjusted headline earnings for the fourth quarter were $46 million. This was after some $100 million in accounting adjustments of which we forewarned during the third quarter and which Venkat will speak to in more detail in a moment. Excluding these charges, adjusted headline earnings would have been slightly higher than those of the third quarter, in line with our operating performance. The South African mines posted marginally lower production as a result of lower tonnes treated at Great Noligwa and lower yields at Savuka combined with seismicity concerns at the TauTona mine. Total cash costs for the South African operations, however, were well contained at 62,800 Rands a kilogram as a result of good performances from Tau Lekoa, Moab Khotsong and Kopanang. Elsewhere in Africa the Sadiola mine in Mali, Geita in Tanzania and the Obuasi in Ghana all posted grade related production improvements. Siguiri in Guinea saw a 24% increase in production and lower total cash costs as a result of higher tonnage treated. Outside of Africa, assets had an excellent quarter with Cripple Creek in the United States improving production by 25% and Sunrise Dam in Australia reporting production improvements of 42%. Operational performance of the Brazilian assets was generally steady quarter-on-quarter. At Cerro Vangaurdia, we did see a 22% production decline due to lower grades, which is part of our planned mining sequence. In respect of the year, let me turn first to safety. In 2006, 37 AngloGold Ashanti employees lost their lives in work-related accidents. The Groups fatal injury frequency at 0.22 per million man hours worked represented the theory, a deterioration in what had been over the last eight years an improving trend. Our lost time injury frequency rate also were regressed this year from 6.77 per million man hours worked in 2005 to 7.69 in 2006. In response to this regression the management team has recommitted itself to taking every action to returning the company to the improving safety trends of recent years. It's certainly our goal to achieve fatality and injury free workplaces. The Cripple Creek & Victor mine in Colorado has recently completed three years without the lost time injury, this is solid testament to the fact that it's possible to achieve. We want each employee to become a safety supervisor looking after his own safety and that of the colleague working next to him. We'll continue to work closely with both trade unions and with regulators to this end. Regarding production, 2006 saw a 9% decrease to 5, 6 million ounces. The decline was largely attributable to a significantly reduced contribution from the Geita mine due to the delayed cut-back of the operations main pit, as well as lower ounces from the now sold Bibiani in Ghana and Great Noligwa, Savuka and Tau Lekoa in South Africa. Total cash costs were 10% higher for the year at $308 an ounce. This is a solid cost performance, particularly in the light of rising prices of commodity inputs, which continue to plague the industry as a whole. Our cost management program this year yielded $73 million in sustainable cost savings. $50 million of these were achieved in South Africa through increased operating efficiency which provided $29 million, the restructuring of the Savuka and Tau Lekoa mines, $17 million and improved procurement practices $4 million. We will continue to roll out to our other operations, particularly those in Africa, the initiatives that have produced the cost management success achieved at our South African mines for some years. Our adjusted headline earnings have doubled year-on-year to their highest ever level at some $413 million. In a year in which the gold price rose by 36%, our earnings have increased by 105%, clearly demonstrating the company's strong leverage to a rising gold spot price. During 2006, we've added some 10 million ounces of reserves which offset depletion standard of almost 67 million ounces, a 6% improvement. Significant additions include 3 million ounces at Mponeng mine, 1 million ounces at Cripple Creek & Victor in the United States, and 1 million ounces at Sadiola due to the inclusion of the Deep Sulphide Project. Our 2006 mineral resource increased, by 3% to 102 -- to over 182 million ounces. Successful brownfields exploration led to significant resource additions, including some 5 million ounces at Obuasi, 2 million each at Boddington in Australia, and Navachab in Namibia and Geita and 1, 5 million additional ounces at Siguiri in Guinea. In sum, 2006 was a year of production disappointments, competitive cost control, good reserve generation and good exposure to a strongly rising gold price that has produced record earnings. The outlook for 2007, particularly in the lack of the reduced mining rate at TauTona and the pit slope failure at Geita is for a modest increase in production. Our guidance at this time is for 5, 8 million ounces. By next quarter at the latest, we will have a more confident detail on Geita. And we will also know whether our revised mining strategy at the TauTona mine is having the desired effect. We intend to manage costs aggressively and here we offer guidance for the year of $309 per ounce, based on the currency assumptions in our published earnings report. We will seek to maintain our exposes of the strong gold price and in the market we currently envisage, we will be seeking received prices within an 8% to 10% range of spot, as we continue to deliver into the hedge. We have the strongest ever pipeline of organic growth projects, which includes our commitment to Mponeng deepening approved at yesterday's Board meeting. We also believe we have our best ever greenfields exploration targets. These together see our capital expenditure rise to $1 billion with a combined greenfields and brownfields exploration budget increasing to an all time record of $163 million set against our significant capital commitments, a dividend of 240 South African cents or 33 US cents per share has been declared for sixth months ended 31 December 2006. This represents a similar payout level of dividends to the adjusted headline earnings as the mid-year declaration resulting in a total dividend for the year of 450 South Africans cents or 62 US cents per share. This represents a near doubling of the dividend per share declared in 2005. Given that the group is in the highest ever capital expenditure phase, we will continue to mange our capital in line with profitability and cash flow, and our approach to the dividend and capital allocation on the basis of prudent financial management. Finally, the company is pleased to welcome Sipho Pityana to its Board of Directors with effect from yesterday and simultaneously Sir Sam Jonah has resigned from the Board with effect the same day. I'd like to welcome Sipho and thanks to Sir Sam for his dedicated service to the company since the merger of AngloGold with Ashanti in 2004. I'll now hand over to Venkat.
Srinivasan Venkatakrishnan: Thank you, Bobby. You will recall that when we presented our third quarter results in October of last year, we noted to quote that our fourth quarter earnings would be significantly distorted due to accounting adjustments, including current and deferred tax provisions, BEE, and ESOP charges, and divesting of certain share awards. During the quarter, these charges totaled some 100 million, and can be broken down as follows: Charges in respect of the BEE and the ESOP transaction amounted to $22 million. Charges in respect of vesting of share-based awards granted prior to 2005 equaled $22 million, and this follows on from the marked increase in earnings for 2006. Charges to current and deferred tax provisions, primarily due to changes in effective tax rates as a result of higher gold price assumptions amounted to $32 million. Redundancy costs to improve efficiencies at Obuasi were $15 million, and other year-end adjustments, which is reassessing the useful life of fixed assets and rehabilitation provisions were a net $9 million. As Bobby noted, our adjusted headline earnings of $46 million, given the above charges of $100 million therefore compare favorably to the adjusted headline earnings of $141 million recorded in the third quarter, which does not include any such charges. For the year, our adjusted headline earnings at $413 million to emphasize after the $100 million charges referred to above, were up 106% on that of the pervious year, whilst gold price went up only 36% further highlighting the significant earnings leverage our shareholders continue to see under the current gold environment. Despite the significant charges recorded during the fourth quarter, our adjusted headline earnings of $413 million, represents an all-time record in the history of AngloGold Ashanti. Looking ahead and based on current conditions, the accounting adjustments that are likely to reoccur in 2007 include: The annual cost of the ESOP scheme, estimated to be $15 million spread evenly throughout the year. Divesting of final installment of share-based award granted prior to 2005, which will be approximately $4 million in total but will be spread over the first three quarters of 2007. And finally, further redundancies at Obuasi estimated to cost $7 million and most likely to take place in the first quarter of 2007. I will now hand you over to Mark to take you through our hedging activities in more detail.
Mark Lynam: Thank you, Venkat. As has been noted, our price has been at $578 per ounce, $6 per ounce below that of the third quarter and some 6% lower than the average spot price for the fourth quarter. This is well within our forecasted range of 5% to 10% below the average spot price, as we continue with our strategy of delivering into the hedge book as fully as we can. In order to bring the hedge book in, in a way that optimizes value. The hedge is 20-tonne increase quarter-on-quarter to 10.16 million ounces or 316 tonnes as a result of a higher fourth quarter and gold price, and this was offset by decreases relating to maturing hedge contracts, buyback, and other hedge management strategies. Continuing from the last quarter, the buying of hedges are going well and is consistent with it and a part of our long-held practice of accurately managing the book. A positive strategy over the fourth quarter, number of hedge contracts maturing in the near-term were restructured into longer dated option contracts, then in the shorter dated long positions from the fourth quarter in 2006, gold to be rolled out into 2007, resulting in a net long dollar gold position of 12.957 kilograms, excuse me, 12,957 kilograms, at an average price of $639 per ounce for 2007. As it’s historically been our practice, these long positions will be integrated into the hedge book, and used to exciting commitments in 2007 and beyond. Looking to 2007, I'm assuming a gold price range similar to that seen in the last year. The received gold price for the group is likely to be from 8 to 10% below the spot price, as we continue to settle maturing contracts. Finally, in order to simplify the reporting of these types of gold hedges on the received price, from the 1st of January 2007, AngloGold Ashanti and its group financials will show an average received gold price, which will be similar across all of its mines. I will now hand over to Neville to take you through the operational performance of the African operations in the quarter.
Neville Nicolau: Thank you, Mark. The African assets produced a reasonable set of results for this quarter with mixed performances from our South African operations and solid production increases from Geita in Tanzania, Sadiola in Mali, and Obuasi in Ghana. Iduapriem also in Ghana had a more difficult quarter, as did one of our Malian operations, Morila. Let me highlight now a few of the key operating performances of the African mines. Production from the South African assets was marginally lower this quarter in spite of operational improvements from Tau Lekoa and Moab Khotsong, where production increased 25% and cash costs were 24% better. Kopanang also had an excellent quarter following a 12% yield increase that resulted in the production rising 6% and total cash cost improving 5%. The other South African operations had a more challenging quarter with increased off-reef mining and backhaul availability problems at Mponeng resulting in a production decrease of 5%, albeit of a very high base in the third quarter, and a decline in tonnage treated at Great Noligwa and yields of Savuka negatively impacting production from those operations. At TauTona, where a seismic event in late October tragically claimed the lives of five employees, production was 10% lower after the rated seismicity concerns halted mining on several panels. Following this incident, an external team of experts led by the CSIR was requested to review the mining strategy at TauTona. They were satisfied with the micro and macro mining methods. Combining their recommendations with our own internal review, we decided to change the mining direction of geological features, reduce the panel length, and the volume mined in this area. We have also done away with night shift, and are now using a single shift system. We believe that these decisions will reduce the risk. They have, however, resulted in 25% reduction in mining volumes, and an associated 900-kilogram decrease in gold production at TauTona for the year, as we now extracted gold over a much longer period of time. I should note that seismicity in this area remains high and is being constantly monitored as the new mining strategy is implemented. We will not place our employees at risk and will further reduce the mining if required in the interest of safety. Turning now to our Vaal River operations, you will be aware that uranium refined at our Vaal River South Uranium plant, the only uranium producing plant in South Africa, is treated as a byproduct and is used to offset cash cost at both Great Noligwa and Moab Khotsong. After a sustained period of low uranium prices, we began in 2005, a full year program, a capital program to refurbish the Vaal River South Uranium plant to ensure uranium production over the planned life of mines of both Great Noligwa and Moab Khotsong. The project includes repairing and relocating the acid storage tanks, upgrading the existing acid protection system, refurbishing the general plant and reagent areas, and most importantly, replacing the Counter-Current Ion Exchange or the CCIX system, which currently consists of five parallel streams without any standby capacity. Although the refurbishment project is well underway, over the course of the fourth quarter, the Vaal River South Uranium plant experienced significant downtime as a consequence of excessive corrosion rates in CCIX section, which resulted in considerable decrease in the recovery efficiencies. The implementation of temporary initiatives would help stabilize the production capacity at the Vaal River South Uranium plant together with the broader upgrade of the plant is complete. But in the short-term, the resulting uranium shortfall will contribute to a higher cash cost at both Great Noligwa and Moab. Regarding safety, as Bobby mentioned, we saw a disappointing deterioration in the Group's performance over the course of the year, with the decline primarily concentrated at our operations in South Africa. The fourth quarter was unfortunately no exception, as nine employees lost their lives while at work. This has led to a full safety review session and the development of a program of action to address what must be every manger's top priority. The lost-time injury frequency rate at our South African mines, which improved 14% quarter-on-quarter is clear evidence of what progress in this area is possible. Finally, I am pleased to announce that the Board recently approved the project to develop Moab, the Mponeng mine below the 120 level. The project will consist of four parallel declines that are sunk from the 120 level to gain access to the VCR reef on levels 123 and 126. The project from which production will start in 2013 is expected to produce 2.5 million ounces of gold over a period of 10 years at a capital cost of $252 million, and will extend the life of their mine by approximately eight years. Turning now to our other African underground mines, production improved 4% at Obuasi in Ghana this quarter due to a 14% improvement in grade. The total cash costs, however, rose 13% to $437 an ounce as a consequence of higher royalty costs associated with the rising gold price as well as inflation-related increases in the fuel price and the contractor rates. The ongoing power rationing exercise currently underway in Ghana, which I will speak to more in a moment also, negatively impacted costs. At Iduapriem, production declined 11% as a result of lower growth and no stoppages, and the total cash cost consequently rose 8%. At plant expansion project to increase the treatment capacity at Iduapriem from 3.7 million tonnes to 4.3 million tonnes commenced during the quarter and is expected to be commissioned late in 2008. Finally, what was our third Ghanaian operation, Bibiani, the sale of this asset was completed in early December through Central African Gold plc, for a consideration of $40 million. Reported production was derived from only two months of the reported three months and was composed entirely of reclamation of the lower phases of the slimes dams which resulted in a decrease of 38% to 5000 ounces. Cash cost improved 28%. Regarding the ongoing power shortage in Ghana, the Chamber of Mines of Ghana has established a consortium representing the four major gold mining companies operating in Ghana. The consortium in collaboration with the National Power Generating Institution, the VRA, and the government is in the process of buying and installing an 80 megawatt power generating unit that will feed into the National Power Grid and will be for the use of the mining industry. This does not solve the medium or long-term power needs in Ghana. The proposals to allow an independent power producer to supply power into the networks are being pursued at the national level, and this could be the longer term solution. As I mentioned, Siguiri in Guinea, had another solid production quarter posting a 24% improvement to 77,000 ounces after fewer plant maintenance shutdowns resulted in higher tonnage throughput. The total cash cost consequently fell 12% to $383 per ounce. The Malian assets had a mixed quarter, with production steady at Yatela of 34,000 ounces and total cash costs of 5% lower. While at Morila, production decreased 4% due to a 10% decline in the recovered grade. The production was 8% higher at Sadiola to 50,000 ounces as a result of a 21% increase in the recovered grade and the total cash cost improved marginally to $277 per ounce. Looking across to East Africa, Geita in Tanzania had a good operating quarter with production of 10% to 80,000 ounces after the first of the higher grades in the Nyankanga pit cut-back excess, resulting in a 17% increase in the recovered grade. Total cash cost, however, were 9% higher, primarily due to the increase in expenditure on equipments' maintenance. We announced last week a partial slope failure in the intermediate pit hole in the Nyankanga pit. The pit has been monitored by slopes stability radar and was safely evacuated in advance of the failure, resulting in no injuries to employees and no damage to equipments. In the last quarter of 2006, mining and pushback 4 proceeded as planned and exposed the ore as expected at the bottom of the pushback. On the 27th of October 2006, a small fall of ground exposed the threat of a triangular block of ground bounded by geology in the Northwest corner of the pit. The mining layout including the location of the ramp was changed and a 40 meter catch berm was established to protect the pit bottom from the potential slope failure. Radar monitoring was established and other safety precautions were installed. Mining proceeded in the pit and drilling of the ore body compounded tonnage and much higher grades expected. And therefore, we were confident of achieving our forecast of a significant increase in gold production at Geita in 2007. On the 23rd of January 2007, the radar reported an increase in the rate of movement on the western side of the pit. The crew was withdrawn and the equipments safely parked. The slope on the western side started unraveling over a large area and failed on Saturday, 24th of January. The resulting slope failure covered a small portion of the old mining area exposed, but this was unfortunately the high grade western side. A revision to the medium and long-term plan is underway and will be reported on in due course. There is no indication at this stage that any gold will be sterilized. It is only a matter of the timing. Also, the cost of the removal of the slope failed material should not be significant, as this side would have been removed with pushback 6. Our immediate action plan for the year is to reduce the mine -- ore mining from Nyankanga pits and to increase the ore mining from satellite pits resulting in a gold forecast of approximately 400,000 ounces for 2007 or a 30% increase on the production compared to 2006. I will now hand over to Roberto, who will discuss the international operations.
Roberto Carvalho Silva: Thank you, Neville. The international operations reported generally strong results for the December quarter. Looking first to the South America, mines Serra Grande production was again maintained at 24,000 ounces, although total cash cost was 7% higher due to increased expenditure on equipment maintenance. At AngloGold Ashanti Brazil Mineracao, production increased at 3% reflecting both better results from heap leaching Cuiabist activities and more ounces from Cuiabá, as the expansion project starts to deliver. Total cash cost was 7% better at $182 per ounce. These were better gains from Cuiabá and higher sulfuric acid by product credit. Cerro Vanguardia, Argentina saw production declining 22% to 43,000 ounces due to a decrease in grades as a part of a planned mining sequence. This is in turn resulted in 60% increase in total cash cost, which were also negatively impacted by lower silver by-product credit. In Australia, Sunrise Dam had an excellent fourth quarter. Mainly the opening pit progressed as planned into the higher grade area, with recovery grade 35% better to 4.2 grams per ton and tonnes treated up 10% higher. Production consequently increased to a record 153,000 ounces, a 42% improvement quarter-on-quarter. Total cash cost decreased by 17% as a result. Finally, at our North American operations CC&V in Colorado, I am pleased to report a good quarter with production up 25%, as solution flows on the leach pad normalized, leading to an increased recoverable ounces. Total cash cost, however, rose 7% as a result of higher fuel price and inflation related wage increases that have affected CC&V over the past years. Turning to resource generation, successful brownfields exploration in and around international operations helped us add significantly for the company's total increase. These additions include 2.1 million ounces at Boddington, Australia, 1.1 million ounces at CC&V, 600,000 ounces at Cerro Vanguardia, and 200,000 ounces at Serra Grande in Brazil. In terms of reserves, the most significant additions at an international operations included 1 million ounces from Boddington, due to an upgrade of inferred resource and higher gold and copper price, as well as 700,000 ounces from Sunrise Dam, primarily as a consequence of the inclusion of the north-wall cutback and cosmo orebodies. Sulphide exploration drilling combined with the Cuiabá expansion in an additional 500,000 ounces at AngloGold Ashanti Brazil Mineração. Our list of successful brownfields exploration as well as higher growth price led to another 400,000 ounces at Cerro Vanguardia. I will now hand over to Richard to review our greenfields exploration done in 2006 and outline our aims for 2007.
Richard Duffy: Thank you, Roberto. In 2006, total exploration expenditure amounted to almost $103 million, with $51 million allotted to greenfields exploration. The majority of this greenfields spend was concentrated in three key areas; Tropicana in Western Australia, our own exploration sites in Colombia, and in the DRC at a 10 kilometer by 15 kilometer block in the Northeastern part of the country. The remainder of the greenfields exploration budget was spent in Russia, China, the Philippines, and Laos through various joint ventures and partnerships, which I will touch on in a moment. In 2006, just over 119,000 meters of reverse circulation and diamond drilling was completed by our greenfields exploration team, representing a 300% increase on the total drilling completed in 2005. In 2007, we are targeting 350,000 meters, a further 200% increase over last year. We have continued to refine our exploration program over the course of the last two years, such that it is now both more focused and more advanced than at any other time in the company's history. This has meant terminating our exploration activities in some areas such as Mongolia, where we sold our tenements in early 2006 and limiting them in other such as Alaska, where although we have retained the pullback rights, we divested our assets to International Tower Hill Mines Limited in August last year in exchange for a 19.9 equity interest. In a highly perspective but less familiar terrain, we also entered into renewed partnerships to jointly explore with other companies during 2006. In China, we acquired an 8.7% stake in Dynasty Gold Corporation at the beginning of last year. Proceeds from our acquisitions, which also gives us the right to enter into joint ventures at two of Dynasty's most prospective projects: Red Valley and Wild Horse, are being used to fund further exploration, with results from a recently completed 5,000 meter diamond drill program at Red Valley currently under evaluation. Complementing the company's equity investments in Dynasty, AngloGold Ashanti also signed two separate cooperative joint ventures over the course of the year with local partners at Yili-Yunlong in Xinjiang Province and Jinchanggou in the Gansu Province. These are included in our 2007 greenfields drilling program. In Russia, we signed a 50-50 strategic alliance with Russian gold and silver producer, Polymetal in September to explore, acquire and develop gold mining assets within the Russian Federation. In the Philippines, we recently exercised our right to proceed to a second joint venture with Red 5 Limited. And in Laos, we’ve expanded and extended our exploration alliance with Oxiana Limited for another year. Looking ahead to 2007, our total exploration spend will increase by 58% to $163 million. Of this greenfields exploration spend will increase by nearly 70% to $86 million. Expensed exploration is estimated to total $109 million this year. The majority of this will again be spent on our three key targets: Tropicana, the DRC, and Colombia. An amount of $24 million has been allocated to drilling, around 120,000 meters of the Tropicana and Havana zones, with a further $8 million being year-marked for regional exploration outside of these two zones, including 35,000 meters of RC and diamond and 96,000 meters of air core drilling. The total of $15 million is budgeted for the DRC, which will fund 70,000 meters of drilling in and around the Adidi-Kanga area and 10,000 meters for the regional drilling program. 15 million has been allocated to our Colombian exploration program, which will fund more than 40,000 meters of drilling on our own projects, specifically at Gramalote, Quinchia and La Colosa. The funding will also facilitate through constant exploration and target generation in 11 regional programs, and further rationalization of our extensive tenement position in the country. In addition to our spend, we expect our various joint venture partners to provide a further $15 million of exploration funding resulting in total exploration spend in Colombia of some $30 million. In summary then, we are targeting the delineation of 6 million ounces of inferred resources through our 2007 greenfields exploration projects. I will now hand you back to Charles. Thank you.
Charles Carter: Thank you, Richard. At this point, we will hand back to Dillon to prompt for questions.
Operator: Thank you very much, sir. (Operator Instructions). Our first question comes from Heather Douglas of BMO Capital Markets. Please go ahead.
Heather Douglas - BMO Capital Markets: Hi, everyone. I just have a couple of questions. Congratulations on the reserve increase, but I was surprised to see that Moab Khotsong, they formally announced as they came out last year, because the gold price didn’t come back in. Could you tell us where that flow infrastructure project is with Moab? And then also on Moab, your guidance next year is 470 an ounce, when do you expect cost to start coming back down towards the life-of-mine numbers?
Mark Lynam: I want you to repeat the second part.
Srinivasan Venkatakrishnan: Heather, just the second part of your question, again?
Heather Douglas - BMO Capital Markets: I noticed your guidance for Moab Khotsong of $470 an ounce for cash cost. And that when do you expect them to come back down to what the life-of-mine estimates were?
Mark Lynam: Okay. The reserve situation at Moab was, and you're spot-on, was we had the phase what we generally refer to as the Phase II project in our reserves previously. We took it out because the project that we had on the design board at that time, and the gold price made it not viable and we've redesigned that project to a point now and with the higher gold price, we now mine most of that area, which is the area that we put back into reserve. In terms of Moab Khotsong's cash cost, there is a steady build up in terms of cash cost going forward, but Venkat seems to wants to answer that question.
Srinivasan Venkatakrishnan: Yeah. Basically, Heather, where we are, is we've got about 80,000 ounces projected for '07. And it sort of rushed up at the rate of about 40 the following year and then a further 60 in '09. And cash cost, you would expect them to drop below $400 an ounce in 2008 to getting through the low 300s in 2009. That's our current estimate for the moment.
Heather Douglas - BMO Capital Markets: Okay. Good. And I just have a clarification question about Geita. You said your current plan to respond to the special catalog failure that you'll ramp up production from other satellite pits and you won't be in Nyankanga at all in the '07?
Bobby Godsell: A lot of mining comes from Nyankanga. In fact 45% in our new plant, 45% of this year's production comes from Nyankanga. It's not that we have stopped mining in Nyankanga, but we are limited in terms of how much of the orebody actually can access and how quickly we can get that done.
Heather Douglas - BMO Capital Markets: Okay. Thanks.
Operator: Thank you very much. Our next question comes from John Tumazos of Prudential. Please go ahead.
John Tumazos - Prudential: Thank you very much. This is John Tumazos. Could you just take a moment and review the zones in the '05 reserve statement that were declassified in South Africa because of the brand exchange rate and gold price assumption used a year ago? And how much and which of those came back to reserve, if any? And then, the bigger items in the resource queue that might get evaluated in '07 to become potential reserves?
Neville Nicolau: I think some information is provided in the published report, if you've just seen --
John Tumazos - Prudential: I apologize. I haven't read the whole just yet.
Neville Nicolau: We are just seeing if we can give you a meaningful answer to that quickly. The summary numbers that I have in my mind is that two-thirds of the reserves that we've brought back in, were brought back in because of price. In other words, they were projects, and Moab Khotsong as an example, and Mponeng below 120 is another example. And those are the two main ones were brought back in which were projects previously and about one-third of the 10 million ounces is kind of new reserves, which we haven't had in before. So, loosely speaking two-thirds of it came back because of price and one-third because of new exploration and new projects.
Richard Duffy: And John, on page 12 and 13 of the quarterly you will see the reconciliation anecdotally for each project. We will then publish the full detail with our annual report.
John Tumazos - Prudential: As you plan your business going forward, what Rand exchange rate and what gold price you use for your long-term planning?
Srinivasan Venkatakrishnan: Basically, if I can pick that up, it's Venkat here. We are using $575 real gold price in 2007 terms and the Rand exchange rate of 750 again real in 2007 terms. Thus in terms of planning for the business, but obviously from a hedge book management point of view, we look at spot conditions which are prevailing at present. So, we are conservative when it comes to planning, committing project etcetera.
John Tumazos - Prudential: So in effect, both the periods of time in the last few years when the Rand was as strong as 5.5 or as weak as 13, you are throwing out as outliers and expecting a program of in effect stability?
Srinivasan Venkatakrishnan: That's correct. We don't expect the sharp unwinding of the Rand, not within the next couple of years.
John Tumazos - Prudential: Thank you.
Operator: (Operator Instructions). Our next question comes from Terence Ortslan of TSO and Associates. Please go ahead.
Terence Ortslan - TSO and Associates: Thank you. Good morning. Along the lines of ounces being reported, an annual analysis I guess for the ounces added, it's not justifiable. But given the exploration dollars that you spend, how would you calculate or what's the number that you will have internally on a moving basis, your cost per ounce that you are adding? Number one. And I have kind of isolated the exchanges, so I wanted if you can kind of brief the audience about your exploration dollar justifiable to find ounces in relation to the industry cost?
Richard Duffy: Terence, hi, this is Richard Duffy. For our greenfields program we typically target a cost of around $15 to $20 to get to a resource ounce and around $40 to get to a reserve ounce. On the brownfields side, that numbers to get from the resource to reserve is about $15 an ounce. And I think if you compare that to the industry average that's perhaps a little more competitive than the average, but it's there or there about. And those are the numbers we use when we plan the programs that we have and that we discussed.
Terence Ortslan - TSO and Associates: Thank you. My second question is on the Ghana power situation that we discussed it before that -- what are the chances that we use this kind of result at the earliest? Number one. Number two is that, the potential of the possibility of Nigerian gas kind of elevating this earlier than stated?
Bobby Godsell: Hi, I think I caught all of your questions, but the Nigerian gas is a pipeline which is planned and is underway. But realistically, I don't think that this is going to materialize in the next two to three years. And I missed the first part of your question, Terence.
Terence Ortslan - TSO and Associates: The mitigating circumstances for the power issue for you specifically and vis-à-vis the industry itself and other operators, but for you specific in the near-term?
Bobby Godsell: We are required to reduce our power consumption from the national group by 25%. And we have been able to do that by stopping equipments and machinery and by running some power generating equipment on the mine. And that's what we have been doing. What we've also been doing is, as I have described in my text, is participating in the purchase of an 80 megawatt power generating plant, which we will share with the other three major mining companies in Ghana. The installation of this plant will probably be ready by the end of the year, early next year with power coming online then, and that’s how it will be shared between the mining companies.
Terence Ortslan - TSO and Associates: And your cost of the power will be approximately what per kilowatt do you anticipate?
Richard Duffy: The cost of -- our portion of the cost is US$8 million for that south plant. The plant is $40 million in total.
Terence Ortslan - TSO and Associates: No, I was talking about the ongoing sense for your kilowatt-hour that you anticipate for your operations?
Richard Duffy: Okay, presently, in terms of the other power that we received before, it was about $0.05 per kilowatt-hour. With this generation unit coming in Tema, that could go as high as about -- between $0.12 and $0.15 per kilowatt-hour. But if you look at our emergency generation at the moment, it's actually above $0.20 per kilowatt-hour.
Terence Ortslan - TSO and Associates: Okay. Just a last question, could you just break down your pie chart for exploration spending geographically for 2007, please?
Richard Duffy: I will give that in a sec. I don't know if you have access to the slide presentation.
Terence Ortslan - TSO and Associates: I don’t. It’s still in there?
Richard Duffy: It is. But I'll give it to you briefly. Our total, I can give you the greenfields breakdown, which is $86 million of the 163, and that is broken down into 43% in Australia, which is specifically Tropicana and the regional Tropicana program. It’s 18% in the DRC and Colombia respectively and then it’s 9% in China, 7% in Southeast Asia, and around 1% in Russia with the balance of sort of corporate discretionary at 4%. I don't have the breakdown of overall exploration, but we can certainly get that to you if you wanted.
Terence Ortslan - TSO and Associates: Okay. I will talk to the New York office. Thank you very much.
Operator: Our next question comes from Heather Douglas of BMO Capital Markets. Please go ahead.
Heather Douglas - BMO Capital Markets: Hi. I also noticed that you put that 1 million ounces into Sadiola for the Deep Sulphide project. Can you give us a little bit more details on how that is going to unfold, how much it's going to cost, sort of thing?
Richard Duffy: No, we can't, because we’re putting the budget together and we are looking to take it to Board by September of this year.
Heather Douglas - BMO Capital Markets: Okay, I’ll probably wait till September then.
Bobby Godsell: I mean the fact that we put the ounces back into reserve indicates a management judgment that this project is viable.
Richard Duffy: Yes, we don't have the detail.
Heather Douglas - BMO Capital Markets: Okay. Well, thanks.
Bobby Godsell: Heather, quite important about that project was -- and you will remember that the budget was in the balance because of the metallurgical recoveries of the Deep Sulphide, that's the major problem that we have solved. And we have the metallurgical process that gives the recoveries up to close to the 80%, which was way above the 64% before, and that's the budget that we are working on at the moment.
Srinivasan Venkatakrishnan: And Heather, if I can be helpful here, the numbers we do have in terms on capital expenditure estimates, as you appreciate, there is a joint venture partner and we need to make a joint announcement in terms of CapEx going forward only when we have their consent.
Operator: Our next question comes from Justin Brown of Business Report. Please go ahead.
Justin Brown - Business Report: Thank you. I just -- I have three questions, please. My first one just concerns the capital spend of about US$1 billion that AngloGold Ashanti is planning, I just wanted to know what projects or mines that money would go to? And just a follow-up from this morning presentation, they were four measures mentioned regarding the change to tonnage improved safety. I just wondered if these measures could be explained as to how they have improved or are going to improve safety? And then my third question just concerns TauTona and how the decline in production will improve safety, as was mentioned this morning? Thank you.
Srinivasan Venkatakrishnan: If I can pick the capital expenditure question, our sustaining level of CapEx is about roughly $700 million, the ramp up to about $1 billion comes primarily from our share of the expenditure on Boddington, which for next year is estimated at about $312 million. The other significant amounts are in respect of the Mponeng deepening project, in respect of the Moab ramp-up, and expenditure in terms of some of the South African projects and the mine expansion in Brazil. But primarily, the step-up comes from Boddington. Our share is about US$300 million.
Neville Nicolau: If I understand your question correct, Justin you are asking about TauTona and what are we doing there to change the mining strategy?
Justin Brown - Business Report: Yes, you just mentioned this morning, four things that mentioned were change of direction and geological features, removing the night shifts, just having a single shift, the decline in the volume in mining areas and the change in panel length. I just wanted how -- how those steps would improve safety?
Neville Nicolau: What we are seeing is the volume of mining that's taking place and it is putting additional risk in terms of seismic activity. The whole issue in terms of changing the direction of mining in -- what we call -- we are going to note-side on to the features. When you normally break, just normal breakthrough feature, you normally put additional spaces on the feature. By note-siding it, you remove some of the rock stresses from the feature and the slippage within the feature as well. And then of course, taking the night shifts out of the panels, it's just that the shift duration that you have working in the panel is reduced and therefore the exposure of people to risk overtime is reduced.
Richard Duffy: The panel length is quite important in terms of getting the complete mining cycle in, and this allows us to row cruise more freely in the area, which means that we continue mining in the area, which dissipates the seismicity over a longer period of time instead of its short sharp bursts.
Justin Brown - Business Report: Okay.
Neville Nicolau: We are happy to give you more detail in the site visit.
Justin Brown - Business Report: Okay, great. Thank you.
Operator: Thank you. Our next question comes from John Tumazos of Prudential. Please go ahead, sir.
John Tumazos - Prudential: Could you talk a little more about the cost forecast of $309 for 2007 year? I believe in the last call you've been looking for a 6% decline. I presume this reflects the seismic activity and the Geita -- the TauTona and the Geita pit-wall rescheduling sequence. Were there any other contributors to the change in cost?
Srinivasan Venkatakrishnan: It was primarily those two. And the impact of Ghana power cost, that’s really what has changed it.
John Tumazos - Prudential: Thank you.
Operator: Gentlemen, we have no further questions, would you like to make some closing comments?
Charles Carter: No. We just thank participants for being on the call. Thank you.
Operator: Thank you very much. On behalf of AngloGold Ashanti, that concludes this afternoon's conference. Thank you for joining us. You may now disconnect your lines.